Operator: Please standby for the TELUS International (Cda) Inc. Q1 2025 Investor Call. The call will begin shortly. Thank you. The conference is now being recorded. Good day everyone. Welcome to TELUS International (Cda) Inc.'s Q1 2025 Investor Call.
Olena Lobach: I would like to introduce your speaker, Ms. Olena Lobach. Please go ahead.
Olena Lobach: Thank you, Carl. Good morning, everyone. Thank you for joining us today for the TELUS International (Cda) Inc. First Quarter 2025 Investor Call. Joining our call are Jason Magnaville, acting CEO, COO, and president of customer experience, Tobias, president of digital solutions, and Gopi Chande, our CFO. We'll begin with prepared remarks from Jason, Tobias, and Gopi, and then open the line to your questions. At the end, Jason will offer his closing remarks. For all cautionary statements and further details on certain non-GAAP measures used during today's call, please refer to the earnings release issued this morning and regulatory filings available on CDAP plus and EDGAR. With that, I'll pass the call over to Jason.
Jason Magnaville: Thank you very much, Olena. Good morning, everyone. Thank you for joining us here today. In the first quarter of 2025, TELUS International (Cda) Inc. delivered operating and financial results in line with Street expectations, and we are also reiterating our full year 2025 outlook. Our global service diversification as well as our relationship with TELUS Corporation, as an anchor client, provide two distinct advantages among many others that offer a certain level of insulation and stability in the current environment and set us apart from many of our peers. Offering important levers to navigate market uncertainties to some extent. From a diversification perspective, in the first quarter, our team secured wins across many geographies, industry verticals, and service lines. For example, we welcomed several new clients, including a global player in IT services, consulting, and business solutions. A Canadian energy marketing and trading company, an American manufacturer of secure identity products, and a Singapore-based platform for AI startups and research institutions. Diversification across industry verticals, client size, locations, and service solutions. We also saw growth with existing clients with our third largest client, a leading social media network, we are rebalancing our engagement across geographies and diversifying across service lines. Additionally, in the quarter, we grew with yet another social media client, particularly in our AI and data solution space, and increased our share of business with the European mobile games client as a result of their vendor consolidation efforts in Latin America where we have a very strong footprint. Consistent with our pursuit for greater share of business, we continue to elevate engagement across our client base to drive long-term retention. As part of this effort, we're deploying AI tools powered by Pewlix. Deliver granular, real-time insights at the account level. These tools provide real-time coaching coverage and effectiveness insights that span everything from absenteeism staffing statistics to performance-based measures. These capabilities, along with the plethora that we test with our partner TELUS, help us bring valuable methods to our clients as we support their customers with respect to next best action, higher sales close rates, higher sales value per transaction, accuracy improvements, reduced handle times, and better yield rates. This proactive fusion of technology in humans also allows us to identify and address performance risks. Optimize resource allocation, ensure consistent service excellence ultimately driving superior client satisfaction and sustained growth. We remain focused on delivering on our clients' needs challenges, and opportunities, operationalizing data-driven customer insights, through targeted solutions, and positioning ourselves as the number one preferred partner. Now the findings of our recent research in trust safety, and security conducted in partnership with Ryan Strategic Advisory, underscore the critical role our trust, safety, and security solutions play in delivering customer experiences. Enterprises are substantially increasing their investment in key areas such as ID verification, fraud detection, know your client processes, and certain forms of content moderation. This is driven by the financial impacts of fraud, regulatory pressures, and the need to adapt new technologies. Our survey also identified that scaling trust, safety, and security efforts presents some very unique challenges for enterprises. Such as compliance with regulations, shortages of technical talent, and the complexity of fraud prevention among the top concerns of business leaders today. We're well positioned to address our clients' evolving needs For example, our recent partnership with Sumsub allows us to expand our capabilities in end-to-end identity and fraud prevention tools. Our ability to combine human expertise with advanced technologies allows us to offer scalable, end-to-end solutions that help enterprises navigate the complex landscape of trust, safety, and security. And bring the right mix of technology and human expertise. We also continue to see growth in AI and data solutions, in our services to support clients' large language model development. Let me give you a few recent examples of our work. For one of our clients, we're working on a training solution for LLM that powers enterprise applications to better understand and interpret images, tables, and documents. We're also helping improve the usage of chemical formulas and diagrams in various For yet another client, we are providing a training dataset solution to improve a stem reasoning algorithm And for yet one more client, a major player in LLM development, providing a dataset to train the model on complex reasoning. Challenging the LLM in specific domains and in particular, looking to learn from complex prompts where the model might falter. Which is a critical step in its development and continuous recalibration. We've been successful in diversifying within this service line as evidenced by our growth with two social media network. While Google is a key client in this service line, our diversification efforts with other clients helps us be well balanced to capture further growth and mitigate typical volume fluctuations that you might see with clients in this rapidly evolving project-oriented business. We look to continuously progress and upgrade our offerings within AI and data solutions. This area continues to evolve, and our leading abilities to mobilize human talent and expertise either on-site or crowdsource especially for highly nuanced work around LLM training. Continues to be key. While simpler tasks and data annotation workflows will be increasingly automated, current industry trends point to demand for the vast and evolving workforce of experts behind AI development, training, and maintenance over the next few years. In both of these service lines, AI and data solutions as well as trust, safety, and security, We've created focused teams, and we'll continue to evolve our offerings to ensure we're well positioned to meet and anticipate our clients' needs. We have invested in great new leadership to drive and advance both these service portfolios, creating clear accountability for client growth, diversification, focused factories, and service line evolution. Now speaking of great leadership, with that, I'll hand it over to Tobias to discuss our digital solutions portfolio.
Tobias: Thank you, Jason, and thank you everyone for joining us. In digital solutions, similar to other players in our industry, we're closely monitoring client sentiment trends during this recent period of market volatility. At the same time, we're seeing good engagement with clients on their automation and cost efficiency needs. We're encouraged that our positioning as a differentiated provider of end-to-end customer journey innovation resulted in a year-over-year revenue growth in digital solutions in the first quarter of this year. Our findings and pilots across some of our largest clients spanning technology, ecommerce, and financial services have translated into new digital solutions opportunities. While differentiating our customer experience management offerings. Importantly, our proof of concepts are now translating into customer-facing deployments. Focusing on the longer term, we believe the demand for transformation of consumer-facing digital experiences should provide a solid basis for our future growth. For the foreseeable future, we believe there's a significant need from our current and future clients to deploy AI and leverage our global footprint to optimize both the cost and quality of their customer experience. We also expect to see an acceleration of a demand for AI-first software development and have launched our own AI-first lean teams offering, whereby we are testing smaller development squads operating at a higher velocity. These teams use new approaches to software development powered by AI tooling. In addition, we believe we are well positioned for the continued interest in high-quality near and offshore development teams. In the first quarter, we registered sales wins with new clients brought back a significant previous client, and saw meaningful expansions with several existing clients. Among new clients, we saw growth in health care, including a leading global provider of clinical development and patient access solutions as well as in financial services. In terms of client expansions and former client returns, financial services and, in particular, banks, coupled with our strong traction in the hospitality sector, contributed the majority of our new sales. We continue to make progress in the digitization of customer experience management across our client base with a target of up to 24 CX strategy audits done in 2025. Our goal is to position ourselves as a strategic partner with clients. Establishing direct reach to the c-suite where cross-sell and growth opportunities originate, identify three to five actionable follow-on threads, and expand our relationship and impact with clients. Let me share two case studies that demonstrate the value we're delivering to our clients. First, we developed an AI-based backlog prioritization model for a global cloud provider. This initiative is expected to save $10 to $15 million by improving workload management, preventing escalation, and ensuring timely case handling. The success of this project has also led to multiple follow-on engagements across the provider's various subsidiaries. Second, a global payments platform is one of several pilots of our fuel agent trainer with a select cohort aiming for broader adoption across all teams. Early projections indicate a 20% to 50% improvement in speed to proficiency for new hires on specific case types. While also helping prepare agents for upcoming product changes. Particularly in handling more complex, hard skills-driven cases. While we track various metrics such as customer satisfaction scores, net promoter scores, average handle time, Fundamentally, we focus on the value that our CX solutions deliver to clients. This includes metrics such as decline in churn rates and increases in revenues. Especially when it comes to investments with a major long-term impact on business success or failure, such as the adoption of AI, companies have gone through phases of excitement and caution. As part of our digital solutions advisory services, we offer clients a very cost-effective option to start implementing AI at their own pace and scale, moving as fast or slow as their strategy requires. Absolutely critical is offering our clients optionality to iterate along the way, using a secure, reliable, tested, and continuously improving fuel platform platform, and or third-party platforms and portfolios of tools. A core part of our strategy is ensuring we are deeply partnered with leading technology providers, including in cloud, digital marketing, CRM, and CCaaS, among others. Each of these technologies plays a critical role in the customer journeys we orchestrate and are directly adjacent to the human CX experiences we support. Our clients expect us to be experts in these fields and our partners turn to us for reliable and technology-forward implementations. For example, in Q1, we expanded our partnership with Zendesk, a pioneer and agentic AI-powered service held a number of go-to-market events with Adobe. You'll hear more partnership announcement this year, as it's part of our strategy to be a key integrator of best-in-class AI-powered solutions available in the market. Whether developed in-house at TELUS International (Cda) Inc. or gained through partnerships. Relentless follow-up and staying close to our clients is the nature of our business. Especially during a current macroeconomic backdrop, you'll see our positioning include a heavy emphasis on helping our clients operate more efficiently, and help them find new ways to reduce costs. Similarly, to what I've read in some of the research notes from our stock analysts, I also believe that long term, tariffs may create additional advisory, technology development, and outsourcing demand as our client clients may need to adjust their business processes in response to tariffs or otherwise pursue a strategy of diversifying their exposures. As the global tariff policies and economic outlook remain volatile, we intend to stay very close to our clients to ensure we are proactive in supporting their needs as the situation evolves. With that, I'll hand it over to Gopi for the financial review.
Gopi Chande: Thank you, Tobias, and good morning, everyone. Our financial results in the first quarter of 2025 were in line with expectations We generated revenue of $670 million, an increase of 2% year over year, or 3% on a constant currency basis. This reflected growth in AI and data solutions and digital solutions We saw growth amongst the majority of our top five largest clients in the quarter on both a sequential quarter and year over year basis. Our largest client, TELUS, remains an anchor of stability and growth. A key client relationship that's unique across our peer base, and we believe particularly beneficial during times of broader market uncertainty. Revenue with TELUS grew 12% year over year. Driven by services we provide in customer experience management, and digital solutions. With Google, the lower year over year revenue comparison is primarily due to a higher 2024 comparison base. In addition to typical volume fluctuations in AI and data solutions. I will point out that year over year, our overall revenue in AI and data solutions grew in the quarter as we continue to diversify across more clients in that service line. Revenue with a leading social media client who remains our third largest client by revenue grew year over year. While we expect the normal course fluctuations quarter over quarter, we believe, overall, our relationship is moving in the right direction with our ongoing efforts to diversify this relationship across geographies. And service lines. Excuse me. Across our industry verticals, I would highlight tech and games. Being our largest and absolute dollar contribution, where revenue increased 1% driven by growth with a leading social media client and other technology clients, but partially offset by lower revenue from other clients in this vertical. TELUS continues to drive growth in our communication and media, media and health care industry verticals, which grew 82%, respectively, And while still smaller in absolute dollar contribution, revenue in the BFSI industry vertical grew 11%. Primarily driven by certain Canadian-based banks and smaller regional financial services firms in North America and a global financial institution client. Among our geographies, we grew in Central America and Europe. While revenue generated in the Asia Pacific segment, which now also includes Africa, was stable year over year. Results were in line with expected fluctuations in service volume demand. From our clients in each of our regions. In the first quarter, our adjusted EBITDA margin was 13.4% with a year over year decrease reflecting several factors. The operational component of this was due to increases in salaries and benefits as well as goods and services purchased outpacing revenue growth for the period. In addition, as we previously discussed, in the first quarter of 2024, our adjusted EBITDA included a material other income line generated from changes in business combination related provisions. Meaning an unfavorable year over year comparison for the first half of the current year. Also, current year profitability incorporates a higher run rate of share-based compensation. Unleverage, defined as net debt to adjusted EBITDA leverage ratio as per our credit agreement, was 3.4 times, as of March 31 compared to 3.2 times as of December 31. This remains comfortably under the threshold of our current credit agreement leverage covenant. As a reminder, earlier in the year, we proactively arranged for a credit agreement amendment that deferred the leverage set down 3.75 times to 3.25 times to commence in the first quarter of 2026. In the first quarter, we generated free cash flow of $41 million As expected, this was lower due to the timing of working capital net inflows from a couple of large client prepayments received in the previous quarter. In addition to typical seasonality. The year over year decline reflected lower profitability and higher capital expenditures. For the full year 2025, we are reiterating our outlook for revenue growth of approximately 2% on an organic basis, adjusted EBITDA of approximately $400 million and adjusted diluted EPS of approximately 32¢. The additional commentary on the outlook that I provided in February also largely applies in terms of the timing of our investments and cost saving programs. With that, let's move on to questions. I ask you to please keep it to one question at a time so that everyone can participate. Carl, over to you.
Operator: Thank you. If you'd like to queue up to ask a question at this time, please press 1 on your phone's keypad. Press 2 if you would like to withdraw from the queue. Again, please keep to one question at a time. The first question is from Puneet Jain from JPMorgan. Please go ahead.
Puneet Jain: Hey. Thanks for taking my question, and good quarter. Wanted to ask maybe Jason Tobias like, if you can talk about, like, what's the operating model like when Tobias' team engage with TELUS, a heritage TELUS on customer care operations to create AI-based solutions for their customers Like, how do they engage with TELUS team? Like and what does that do to the contract economics, whether it's the pricing model or the revenue model on that contract.
Jason Magnaville: Sure. Maybe I'll just I'll start with that. And then, Tobias, you can top up Essentially, when we are working with TELUS, it's a it's a fantastic relationship because it gives us an opportunity to explore end-to-end journeys across their ecosystem and the diversified business set that they have, whether it be in health, you know, TELUS agriculture and consumer goods, or their core telecom businesses. And and so what's really interesting is TELUS is constantly on on the search for new efficiencies, new ways to drive customer experience. And to look at leveraging AI and AI applications in in new ways. So what we generally do is first do an audit and identify opportunities in the organization in a specific business or journey That usually can involve some capital investment by TELUS upfront. Which provides consulting consulting services and development services for for Tobias' organization. Then we also look at everything from how we can generate, you know, a recurring service support for that business area and and then certainly look at you know, what is it that we can do to create outcome-based pricing and value add both for TELUS and for TELUS International (Cda) Inc. So it it's sort of a it's a journey that starts from a consultative basis and then exploration and and investigation all the way through to the development implementation and then ongoing ongoing management of that particular project. Tobias, Yeah. And I think very much in line with what Jason's saying This longer-term view in the industry, right, is that there will be more and more managed services kind of arrangements. And one of the amazing things, that are partnership with TELUS allows us to do is test those models. And so that's been very exciting. And that, you know, at the end of the day, is the core thesis of of these assets. Under TELUS International (Cda) Inc. around digital combining with CX. And and the laboratory for that is really our work with TELUS.
Puneet Jain: Yep. That's great. And if you can also comment on, like, economics or those projects, like, under new models that would great. Thank you.
Jason Magnaville: Sure. So when I you look at the economics of those models, know, just on a time and materials basis, the the margins with TELUS are are very strong. We have you know, numerous revenue sources across dozens of of different projects. The upfront, you know, capital that that TELUS supports to drive capabilities within their organization is a is a revenue source for us. And then, certainly, the time and materials that we apply to it, whether it's on a consult engineering and development basis, also generate strong revenue and margin. So you know, that that's essentially the the the model. It's everything from con consultation services through to development and implementation, project management services, and those are at, you know, market competitive or or better. Margins.
Puneet Jain: Thank you.
Jason Magnaville: Yeah.
Operator: Thank you. Next question? Question from Stephanie Price from CIBC World Markets. Please go ahead, Stephanie.
Stephanie Price: Hi. Good morning. You mentioned growth with your third largest customer, the the leading social media provider. Across geographies and service lines, curious if could dig a little bit deeper into into what you're seeing there.
Jason Magnaville: Sure. When you when you look at that space where there's you know, one of the pieces that we had at the outset of this year was to make sure that we started to diversify not only geographies, not only clients, but also the services within a client. And so those services generally, when you're talking about that particular client or you're talking about that space in general. Usually a mix of trust and safety with moderation services, AI, data annotation, labeling, search accuracy, etcetera, or we get into things like we get into things like the large language model work that we do, and that's very project specific. So these imagine these sprints of large language model development that that we would do in that space. So when you're talking about when we talk about multiple services, it's usually some mix thereof. Of those of those in the portfolio.
Stephanie Price: That's good color. And then you mentioned across geographies as well. Has there been any expansion outside of Europe with that customer?
Jason Magnaville: When generally, it's been within the most of the expansions have been within Europe. On that particular customer. But we also see some opportunities in Central America and and potentially in in Asia Pacific. So I I I would say at at the for the most part, it's been in Europe. And when you're talking about when you're talking about Europe, what's really powerful with our presence in Europe is the different languages that we have available to us to help participate especially in data and AI solutions.
Stephanie Price: Thanks for the color. Yeah. Thank you.
Operator: The next question is from, Keith Bachman from BMO. Please go ahead, Keith. Yes. Many thanks, and good morning to you.
Keith Bachman: I wanted to just ask a broader philosophical question that picks up on the last question is you identified diversification as one of the key objectives, which certainly we would agree with. The question is, how do you execute on diversification and presumably revenue growth acceleration while also trying to improve your margins. And, your growth remains relatively relatively low and and margins are down year over year, and there's certainly some reasons for that as you called out. But it it it's difficult to do both, particularly when you're trying to gather new customers. And so where do you see the optimization of, you know, growth or margins? But maybe just talk a little more, Phil, philosophically about how you improve your margins while also trying to execute diversification and revenue acceleration. Many thanks.
Jason Magnaville: Sure. I I I mean, that's a challenge of every business. Right? When and when you take a look at how we're doing it, we're essentially taking this year as as an investment year. An investment in new capabilities and investment in in new new talent. In developing our existing talent, to be able to scale different we what we see as different growth areas. Within the business. So, you know, I I think one of the first things we're doing is is using this investment here to put targeted investments in the areas that we think will grow the most. So whether that's digital solutions or whether that is in our AI and data solution set, or in new evolutions of security and and trust and safety in particular. When it comes to new technology partnerships, and you'll see us talk more and more about that in the coming weeks. So you know, for us, it's about making having the discipline to make those investments. How do we make those investments and make sure that they're self-funded? We're targeting indirect costs, and we're looking at how do we make sure that we can maintain relatively stable margins through through this investment period. We'll go after indirect costs, make sure we are being very disciplined in our execution. Of those cost reductions, and use some of that to reinvest in new growth areas for the business. And then finally, you know, considering the the, you know, geographic requirements of our clients, the language requirements of our clients, It's making targeted expansion and then upgrades in areas and sites, location investments, that we feel will generate the best return and that clients have indicated they they wish to expand into. So creating, you know, a path of least resistance. When it comes to getting ahead of of clients' needs. You see some of that in the space as well. So, you know, we're mindful that we have to have a balance of approach. We have to earn the right to invest. In particular growth areas. Those that we can't just peanut butter spread that. It has to be an optimization formula, if you will. And we have to be able to make sure we we're driving efficiencies to reinvest and afford, afford those investments. In the business. So you know, maybe, Tobias, I'll get you to top up a little bit on the digital solutions side as well. Yeah, Keith. The the it's a great question. The think the way to think about it, right, is margin in any of us service lines is ultimately based on do you have a differentiated service? And what's the supply and demand picture in that particular service line. So for digital solutions, especially, we spend a lot of time thinking about where are those areas that are that allow us to be differentiated. And in those areas, you can charge a premium versus a a more commoditized area. So you'll see we us address that via partnerships, like what we've done with Zendesk, the partnership, the ongoing relationship with Adobe and others, and you're gonna see more of that. You're gonna see a focus on new ways of operating. And I think the the biggest one is AI first development supported by a number of platforms, including fuel. And then this focus on digitized CX so that when Jason's and our organization go to clients together, we have a differentiated offering, versus the marketplace. And when you can do that, you, our clients will continue to to pay a premium, and we will continue to be able to drive margins over time.
Keith Bachman: Alright. Makes makes sense. Many thanks. I think, Gopi, you had some ideas too.
Gopi Chande: Yeah. So I keep Yeah. Keith, I'll just double click on a a few of the items that Tobias and Jason touched on. On that tension between revenue and growth, we're also working very closely with existing clients or new clients on where there can be a win-win in terms of a benefit for them and the margin improvement for us. So Jason touched a bit on on GEO. And we can partner with our clients to say where would be optimal to be able to deliver, service levels, what what they need, the hours that they need depending on, switching or changing the mix of their geo. So that's a constant conversation we have with our our existing customers and new ones. The other one is picking up on the earlier question around TELUS and, moving towards outcome-based pricing. Which, again, can be a win-win between, our customers and ourselves. So with TELUS in particular where we're trialing some of this, it gives TELUS predictability around the outcome of of what they're going to be paying, what outcomes they're gonna get in terms of sales or in terms of first call resolution. And what it does for us is it incents us on our investment. So to the extent we are working with TELUS on various various AI initiatives, for instance, TELUS expert messaging, and we see an improvement in efficiency and we see an improvement in first call resolution, TELUS starts get predictability, and we, in fact, increase our margin for less time put in for the same outcome. And so continuous to continuing to work with new and existing clients on where we can both benefit has been really promising. So far, and and TELUS is our our test case with that as well.
Keith Bachman: Okay. Many thanks. Helpful answers. Appreciate it. Thanks.
Operator: Thank you. As a reminder, if you'd like to queue up task a question, please press star 1 on your phone's keypad. Please note that the leadership team request you keep to one question at a time. Next question is from Ramsey El-Assal from Barclays. Please go ahead, Ramsey.
Ramsey El-Assal: Hi. This is Ryan on Ramsey. Thanks for taking our question today. I wanted to ask on headcount. It looked like it declined slightly on a sequential basis. How should we think about hiring for the remainder of fiscal 2025? Are you comfortable where you are? And you actually see any opportunity to reduce headcount in favor of AI? Thank you. Yeah. Absolutely. We do see opportunity to reduce headcount.
Jason Magnaville: In favor of AI in the absence of if you were keep all things equal. The reality is we're seeing you know, growth in demand in almost all areas of the business, especially when it comes to optimizing geographies. So even if you're downsizing in one in one geo or a client, you might be you might be upsizing on another another GEO. So we have to be fairly agile, and it's one of the it's one of the benefits we bring to our clients is our agility to move from area to area to optimize their portfolio on cost. But generally speaking, I would say opportunity to see a reduction in total total workforce size, that we would be with AI because a lot of our work now is human working in concert with AI, that productivity lift gives us gives us opportunity and gives our clients opportunity to have more efficiency productivity. I think you will you know, what's something we track is obviously revenue per per team member, cost per team member. And we'll we look forward to seeing a a progressive improvement in that regard as we move forward. There is, in this time of investment, definitely a need, though, to make some investments in in key talent. And new capabilities. Within our organization, bringing in new engineering talent, new new large language model expertise, etcetera. So as we continue to make those investments, there'll be a a period of time where there's overlap. But generally speaking, I think it's fair to say that both from AI as well as overall operational efficiencies and methods, we'll see a reduction in in total team count.
Ramsey El-Assal: That's very helpful. Thank you, and congrats on the quarter.
Jason Magnaville: Yeah. Thank you. Thanks for the question.
Operator: Thank you. The next question is from, Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. Was wondering if you can elaborate a little bit on sort of the impact on tariffs on your clients and what you referred to in your prepared remarks about the potential opportunities there. More specifically, can you sort of talk a little bit about the conversations you're having there with clients? Is it is it more conceptual at this stage? Or you actually is that an ongoing dialogue? With respect to the impact of tariffs? And secondly, you know, longer term as we or let's say beyond 2025, as we think about margins, maybe just remind us of the put and takes there. Are you still seeing pricing price like competition that can sort of impact your ability to expand margins and maybe some of the other, you you talked about headcount. So maybe just remind us of all the puts and takes there. Thank you. Sure. Maybe, Tobias, you could take the tariffs question and and go be the the margins and headcount. Tobias?
Tobias: Yep. So on tariffs, the way we're thinking about it and the way our clients are thinking about it for most of them is that their first order impacts and their second order impacts The first order impacts are obviously the impacts of the tariffs directly, and then the second order impacts are is there an economic impact? Are we going into a recession, etcetera? And we're you know, I think that's well publicized what what the risk is there. On the first order impacts, most of our clients, when you look at the industry, that we operate in, are not directly impacted vis a vis a tariff coming in on a good that they're selling into from one country or another country where they are impacted, for example, in financial services, is how that flows through to the services industry. And that's where we're spending a lot of time with our clients looking at second and third order impacts of tariffs and how we can help them address those through changes in their operations, etcetera, etcetera. The I think the the other opportunity for us, and and we hit it in our in our remarks, is if there's a slowdown, in the economy, and we've already seen this, that folks are thinking about this, is the primary objective of many of their investments becomes cost reduction. And you go on technology investments, you go through cycles of investing in growth and investing in cost reduction. We are in a cost reduction first environment, for most of our clients, and you'll see that positioning in our marketing materials, etcetera, that it's heavily about efficiency, and heavily about cost reduction using AI, using global diversity all the strategies we have, improving how we use technology for CX, how we use technology for trust and safety. And that's really the stance we're taking, and I think that's resonating very heavily. With our clients because they're, more conservative with their right now than perhaps they were twenty four months ago. Gopi, I'll hand it over to you for the second half.
Gopi Chande: Thanks, Tobias. Good morning, Aravinda. So with regards to margin, I'll start first with your pricing. Question. Still seeing a competitive environment still seeing complexity in terms of servicing our clients. But we are seeing stability compared to what we saw earlier last year. We're hyper focused on our performance and ensuring that we're in the top two, if not first, with all of our customers, focused on introducing and bringing innovation and AI to our customers. So that we are their partner in transformation. So overall, I would say we're seeing stability there, but still a a competitive environment. Then if we we look at the the rest of the margin profile, so q '1 in particular, we knew to be our low point. So coming in at just 13.4 on EBITDA margin, our average for the year is expected to be closer to 15%, and we are on track. So what the differences you're gonna see through the year, we spoke earlier in the year about making investments. Jason spoke about this year being a year of investments So $67 million between OpEx and CapEx in particular investments. Some of those are ongoing, but some of those are foundational. In terms of some of the investments we're making in platforms, the some of the growth we have in our sales and marketing team. Some of the technology investments we're making. And then we have an efficiency profile that is is packed on to those investments, and we are very rigorous in terms of who owns those, what the delivery is to be, and agile as well in terms of if we're not getting the return we expected to pivot and try other pilots to ensure that we do ultimately get the $50 million inefficiencies that that we're expecting. So that gives us confidence in terms of the of the increase of our margin as we go through the year. And then as we look forward, so, Aravinda, early to tell in terms of where we end up, but we're absolutely planning for a gradual investment increase in that margin. So as I mentioned, some of those investments are foundation so those will not repeat. Other ones, we're gonna have to continue to invest in the transformation of our business and technology. So those will continue. But, over our journey, I think you can expect from us a gradual improvement in the margins, likely not back. To the twenties and mid-twenties of of years past. But improvement from what you saw or what we're forecasting for this year.
Aravinda Galappatthige: Okay. That's that's helpful and good to hear. Thank you.
Operator: The next question is from Cassy Chen from Bank of America. Please go ahead, Cassy.
Cassy Chen: For taking my question. I just wanted to ask for your revenue outlook. Saw that you guys obviously reiterated it. Despite the pretty strong first quarter. So just wanted to ask, are there any changes to FX expectations for the full year? Are you still assuming that, you know, kind of the macro remains relatively stable relative to the first quarter? And, you know, are there are you adjusting any of your expectations for a performance from your top clients just given the strength that you kinda talked about that you've seen in the first quarter so far?
Gopi Chande: Thanks for the question. Kopit, do you want to take that?
Gopi Chande: For sure. Good morning, Cassy. So, overarchingly, it's an overused term, but we're having to stay pretty agile in terms of our forecast for the year. So I'll start with FX. We've started to see some stabilization between our US and Canadian dollar and so we're expecting that that likely continues to the year. We're watching the euro and US dollar fluctuation. Again, currently a little bit in our favor as we go through Q2, but, again, expecting overall stability. So that is the foundation as of we're looking through the year is we are expecting a continuing fluctuations, but overall stability. There are puts and takes. In our model, and that's how we we built our plan for this year. Which is we're expecting some wins. We're also expecting some some hits. And so we've built in some space to be able to take those puts and takes We've seen that come through Q1 and going into Q2. And so we're cautiously optimistic as we look through the rest of the year barring material changes in the macroeconomic environment. We confident in reiterating our outlook for the year.
Cassy Chen: Thank you.
Operator: Thank you. Our final question comes from Jerome Dubre from Desjardins. Please go ahead, Jerome. Hi, good morning. Thanks for taking my
Jerome Dubre: question. Just as a follow-up on the previous question, you have maintained your guidance If you can just maybe indicate if there's ballpark, any change to your, TELUS business assumption going forward in 2025? Basically, has there has there been an acceleration in your business Tell us for 2025 or as a whole, the business should perform as expect?
Gopi Chande: Go ahead, Kopi.
Gopi Chande: Yep. Thanks, Jerome. So as mentioned, we saw strength with TELUS in Q1, and we expect to continue to see that strength. We Jason referred to the pipeline of projects that we have on the go with TELUS and that we have ready. We we prioritize where we can drive maximum efficiency for them, and we can deliver value and get return ourselves. And that pipeline is strong. So we expect to continue to see, consistent work with TELUS throughout the year. And as we mentioned earlier and tied to the previous question, in this time of of some change and and it is really nice to have the stability and anchor of TELUS and the diversity of work we do with them. So it isn't just any one given project, but across multiple of their business units. So not just in their consumer business, but across business, across health, across agri agriculture. And so a lot of opportunity there. So we expect to see consistent work with them throughout the year.
Jason Magnaville: Yeah. And maybe I could just paint a a larger picture here too. What's really exciting about the partnership between TELUS and TELUS International (Cda) Inc. is when you look at the AI economy and how we're tackling it. We're really taking a mid to long-term view and building end-to-end capabilities that allow us to participate, contribute, and extract value from the AI economy. So if you look at TELUS' investments in AI data sovereignty, and and making sure that, you know, countries can and enterprises can keep data safe and well managed And then you look at their leadership in privacy and policy around AI. And what they've been able to establish there, not only on a Canadian basis, but on a global basis terms of shaping and forming how AI is used and for the, you know, the safety and benefit of both business and and communities. And then going along the the value chain to how TELUS International (Cda) Inc. participates in creating applications that democratize AI like fuel and making sure that those applications then are tried and tested in in a living lab across multiple functional dimensions. In TELUS itself, but also our our other customers. And then moving from there to scalability and scaling them at an enterprise level, and and proving out how those those use cases can really generate critical value. And then going beyond that and taking a lot of those instances and experiences and and shaping and informing how large language models are used. And everything from you know, the accuracy of those models all the way straight through to developing new reasoning capabilities. New applications, new expertise. For light large language models, I mean, it really is quite a cohesive ecosystem. Of AI economy participation and contribution. And and that's the that's the view we're taking. We're leveraging the fulsome capabilities of both TELUS and TELUS International (Cda) Inc. and bringing to bear a strategy that has both midterm and long-term sustainability. And there is a mad thirst to to extract value out of AI right now, and we understand that. And obviously wanna participate in that But, ultimately, underlying it all is a very cohesive strategy from end to end. In a highly valuable partnership.
Jerome Dubre: Thank you. Appreciate it.
Operator: Thank you. There are no further questions.
Olena Lobach: Thank you, Carl. And, we'll turn the call back to Jason for his closing remarks.
Jason Magnaville: Thank you, everyone, for joining us today. Next week on May 15, TELUS International (Cda) Inc. will virtually host our annual general meeting of shareholders. And they would have all received instructions on how to join the meeting. For those of you attending the CIBC Innovation and Technology Conference in Toronto in couple of weeks. Our great leaders, Tobias and Gopi, will be there to represent TELUS International (Cda) Inc. and I hope you all have the opportunity to connect in person. And then lastly, our next quarterly investor call will take place in early August. And until then, I wish you all a very good summer. Thank you for your participation today and for your great questions. Thank you, and goodbye.
Operator: Thank you. This concludes TELUS International (Cda) Inc.'s Q1 2025 investor call. Thank you for your participation, and have a nice day.